Operator: Greetings. Welcome to the Quantum Computing Inc. Fourth Quarter 2024 Shareholder Update Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Rosalyn Christian. You may begin.
Rosalyn Christian: Thank you. And I want to welcome everyone to the Quantum Computing Inc. fourth quarter 2024 shareholder update call. Before we begin, I'd like to remind everyone that this conference call may contain forward-looking statements based on our current expectations and projections regarding future events and are subject to change based on various important factors. In light of these risks, uncertainties and assumptions, you should not place undue reliance on these forward-looking statements, which speak only as of the date of this call. For more details on factors that could affect these expectations, please see our filings with the Securities and Exchange Commission. On the call today, we have Dr. William McGann, CEO of QCi, and Chris Boehmler, CFO. Bill will provide an update on the business followed by a question-and-answer session hosted by both Bill and Chris. With that, I would like to turn the call over to management. Please go ahead, Bill.
William McGann: Well, thank you, Rosalyn, and everyone out there for joining us today. We're extremely excited to share our progress with you after what has been a very, very busy fourth quarter with a lot of significant operational and financial progress to report to you all. With a transformed balance sheet and critical advancements across both our quantum solutions and foundry services business, we are really well positioned to scale and accelerate the commercialization of our technology in 2025. QCi has been living and breathing quantum for years now, but one change since we last spoke together is that the broader world has definitely started to take notice to the importance of quantum. This is a really exciting momentum in the industry and especially here at QCi. For those that are new to our story, QCi is a nanophotonics company, and we leverage the non-linear quantum optical properties of a material called thin film lithium niobate to build high-performance computing solutions for real-world applications today. That's a differentiator. Our approach is unique in the quantum industry because our technology is available and useful today. While many of the quantum players continue to work on that ultimate challenge of a large-scale fault-tolerant system that may remain years away, our focus is in delivering accessible and affordable solutions for quantum-enhanced solutions today and right now. So, we'll talk about some of those in a moment. One of the differentiators for our core technology is so called SWAP-C, which is our ability to deliver superior size, weight, power and cost advantages. And our Dirac-3 quantum optimization machine operates at room temperature, requires no cryogenic cooling, it fits within a standard data rack in a server room and consumes less than 100 watts, which is a fraction of the power required by many competing systems. So, these together are advantages are critical as the industries that seek important solutions that seamlessly integrated to existing infrastructure, while also simultaneously improving computational efficiency; that's kind of our mission. So, we're addressing two very primary market needs right now. The first is our Dirac-3 quantum machine is aimed at solving complex optimization problems in transportation, finance, healthcare, fraud detection and even in improving the optimization of AI algorithms. The second focus has been advancing our photonic chip technology, which we talked about last time. We'll talk a little bit more about that today. And our foundry will provide the building blocks for not only the next generation of our quantum applications, but also for adjacencies in datacom and telecom markets. So, I'll give you a little bit of an update on some of the operational highlights for the fourth quarter 2024. What we did there is we really continued to make a lot of progress across our key initiatives, validating both the demand for our quantum computing solutions and for our chip foundry services. One of the major highlights was an expansion of our partnership with NASA. Many of you have heard that we've had numerous contracts with them. On October 17, we secured our fifth task order with NASA for developing quantum modeling and removal of solar noise from spaceborne LiDAR missions using our Dirac-3 machine. The goal of this project is to reduce costs associated with climate monitoring missions, while significantly improving the data collection capabilities and results. Then again, on December 17, we announced an additional contract with NASA to support initiative for doing what's so called phase unwrapping using our Dirac-3 machine optimization solver. And these are exciting opportunities that demonstrate how our technology can enhance data accuracy and efficiency in large-scale imaging applications. So, more importantly, our ongoing work with NASA over the years has always been laying the groundwork for continued collaboration, not only with NASA, but also with other great government agencies and research institutions looking to leverage our quantum solutions for complex computational challenges. So, we've made a lot of progress in this area. If we turn a moment now to our Quantum Photonic Chip Foundry in Tempe, Arizona, we're in the final stage of commissioning that facility and remain on schedule to begin production in early Q2. The construction is substantially complete as of today and we are now establishing our design process kits and we'll be fulfilling customer orders in Q2. Throughout the quarter, we strengthened our industry relationships by signing a couple of Memorandums of Understanding with Spark Photonics Design and Alcyon Photonics to broaden our collaboration efforts. As part of our 2024 pilot launch, we secured multiple preorders through the opening of the fab. And subsequent to the fourth quarter, we announced a total of five purchase orders for our TFLN photonic chips. These milestones reinforce our strategy in the growing industry demand for high-performance, energy-efficient photonic integrated circuits, or PICs. And QCi's position as a leader in the emerging US-based TFLN market, which we feel even more secure about today than we did the last time we spoke. So, from a sales and market expansion perspective, we've been actively engaged with commercial and government partners in Q4 and we've attended numerous up to 10 industry trade shows and conferences, making numerous presentations, presenting quantum optimization and our photonic chip solutions to some of the key decision makers and then long list of potential customers. This focused outreach is really helping us drive better adoption, visibility and strengthening our customer relationships to expand our presence across multiple sectors we try to serve. One additional example is that we had the opportunity in November of last year to present at the Quantum Frontiers Conference at Los Alamos National Laboratory. This is a key moment for us, because we get to sit and talk with key thought leaders that are on panels to discuss how quantum optimization solutions, particularly associated with our Dirac machine today are solving real-world problems. And while there's been some debate in the industry about the timeline for quantum computing adoption, our model is different and our approach is different. Our photonic quantum machines are already demonstrating tangible value in important government and commercial applications, and it was a nice opportunity to be able to talk about some of those with a very small focus group of thought leaders in the industry. Our work with NASA and our expanding foundry services underscore this proving quantum technologies are not just theoretical concepts, but they are here now and ready to deploy. Chris is going to talk to you in a moment, if I can get over my cold here, apologize for that, and discuss our financial progress in more detail, but another key highlight of the quarter was bolstering our balance sheet. With a significantly stronger financial position this year versus last, we're really well positioned like never before really to scale the operations at QCi and execute and accelerate our commercial strategy to expand the industry adoption of its quantum photonic solutions. And as we move into 2025, we're going to remain really focused on driving revenue from that foundry in our quantum machines, we're going to expand our industry partnerships like he gave you a few examples of in our customer base, we're going to continue as always our R&D innovation to push the boundaries of what is possible in photonic computing. So with that, I'm going to turn over the call now to our CFO, Chris Boehmler, who will walk us through some of the financials. Over to you, Chris.
Chris Boehmler: Thanks, Bill. Today, I'm going to provide a brief overview of our financial performance for the fourth quarter 2024. Our results in the quarter reflect a significantly strengthened cash position in advancement of our strategic initiatives, key initiatives that will drive long-term growth and build our offerings for foundry services of TFLN photonic chips in quantum solutions that use our machines. Fourth quarter 2024 revenues totaled approximately $62,000 compared to $75,000 in the prior-year quarter. Our gross margin improved significantly to 55%, up from 13% in the fourth quarter of 2023. This improvement was largely driven by our focus on reducing our direct cost of goods sold. Operating expenses for the fourth quarter totaled $8.9 million compared to $6.6 million in the same quarter last year. The year-over-year increase was primarily driven by higher employee based expenses, including stock-based compensation and increased depreciation in support of bringing our photonics chip foundry online offset by lower non-recurring legal services expenses. Further for the full year ended 2024, our cash used in operations decreased by $2.1 million, reflecting management's disciplined strategy to minimize general and administrative expenses. The company reported a net loss attributable to common stockholders of $51.2 million or $0.47 per basic share compared to a net loss of $6.8 million in the prior-year quarter. The higher net loss this quarter was primarily due to non cash charges attributable to the mark to market of the company's warrant liability as a result of our merger with QPhoton back in June of 2022. As of December 31, 2024, total assets stood at $153.6 million, up from $74.4 million at year-end 2023. Cash and cash equivalents notably increased by $76.9 million to $78.9 million at year-end, bolstered by total net proceeds of $92.1 million raised in the fourth quarter through offerings of common stock. Subsequent to the quarter, the company announced an additional private placement of common stock for an additional $100 million of gross proceeds further strengthening our balance sheet. Total liabilities at year-end were $46.3 million, an increase of approximately $41 million compared to year-end 2023, driven primarily by the previously disclosed non-cash mark to market adjustment for the QPhoton warrant liability I mentioned. Stockholders' equity rose to $107.3 million, reflecting our strengthened capital position. Looking ahead, our focus remains on executing our commercialization strategy by prudently managing our financial resources, with our foundry on track to be operational by the end of this month, March 2025, with deliveries of preorders early next quarter, Q2 2025, coupled with our continued momentum with our go-to-market strategy to deliver quantum machines, we are very well positioned to drive revenue growth and work toward sustainable cash flow. I'll now turn it back over to Bill for closing remarks.
William McGann: Thank you, Chris. 2024 has been a year of significant progress for QCi with key advancements in our quantum machines and photonic chip foundry and strategic partnerships. As we move into 2025, we are well positioned to drive revenue growth and expand the adoption of our quantum technologies. Our strong financial position and continued focus on innovation will enable us to capitalize on the growing demand for scalable quantum solutions. And I'm excited for what lies ahead as we begin to execute our strategy and continue to put photons to work. So, with that, we'll open it up for questions. And operator, please go ahead with that. Thanks.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] And our first question is from Ed Woo with Ascendiant Capital. Please proceed.
Ed Woo: Yeah. Congratulations on all the progress, and congratulations on getting this recognition. My question is, the opportunities in international, is most of your focus now domestic business or are you focused just on worldwide opportunities?
William McGann: Yeah. Thanks, Ed. It is currently a big focus in the US with some commercial entities. Those entities are global companies. And with some of the US government initiatives with our Dirac-3, particularly in the areas of fraud detection and sort of portfolio analysis, payment analysis. We do have, I will say, a couple of orders for our photonic chips that are offshore, both in Europe and in Asia. So, it's a mix. For the commercial products, the Dirac machine in particular, there are, I will say, orders in our pipeline that we have not been able to capture as an order and deliver as a sale yet that are offshore. But right now, we're pretty much focused on closing orders that are largely domestic for the quantum machines and we've got a decent mix onshore, offshore for the chips.
Ed Woo: That sounds good. And just my last question on the foundry business. Congratulations on starting orders in early Q2.
William McGann: Thank you.
Ed Woo: Are they going to be operating at a ramped 100% operational efficiency right away, or will it take time to ramp up?
William McGann: Well, of course, there's a startup time, right, because what you have to do, I'm sure you're aware, is we have to get what's called our PDKs, our process design kits going, and we have that going. So we'll be delivering chips proof of concept chips to customers in Q2. And those are most of the orders we secured. I mean, we are a new foundry, so most customers rightly would say, hey, build us a handful of these modulator devices or ring resonators or various components. And that leads to a scaled up for a sort of a multi-project wafer platform, which is what we're looking to drive as quickly as possible. So, yeah, there's going to be a ramp as you would expect, commissioning the equipment, getting our PDKs lined up. And we have some partnerships that I mentioned in the call that will be helping us and working with us on some of those things.
Ed Woo: Great. Well, thank you, and I wish you guys congratulations again. Thank you.
William McGann: You're welcome. Thank you.
Operator: Okay. We have no further questions in queue and I'd like to turn the floor back to management for closing remarks.
William McGann: Okay. Well, thank you, operator, and thank you out there, everybody. I see there's about 30 people. So, listen, please. I really appreciate the support and taking the time to listen to our story today and the things we've done, and we're very much looking forward to keeping you up to date in 2025. I would ask that, to really keep in daily contact with us, you can look at our website. We try to keep that very relevant. We worked very hard in 2024 to make that a good reflection of who we are and what we do, not just from a press release perspective, but our knowledge base, the events that we share on our LinkedIn website, we've really tried to get our message out there and be as transparent as we possibly can with our shareholders and with the world in the market. So, I would ask that if you really want to stay in daily touch with us, we'd love to hear from you. And please always feel free to reach out to Rosalyn, our Investor Relations contact here on the call with us today. Thank you all very much, once again, and I hope you all have a good rest of the remaining day.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.